Operator: Good morning, and thank you for standing by. Welcome to the ArcBest First Quarter 2025 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question and answer session. As a reminder, this call is being recorded. I will now turn it over to Miss Amy Mendenhall, Vice President of Treasury and Investor Relations. Please go ahead.
Amy Mendenhall: Good morning, everyone. I'm pleased to be here today with Judy McReynolds, our Chairman and CEO, Seth Runser, our President, and Matt Beasley, Chief Financial Officer. Other members of our executive leadership team will also be available during the Q&A session. Before we begin, please note that some of the comments we make today will be forward-looking statements. These statements are subject to risks and uncertainties, which are detailed in the forward-looking statements section of our earnings release and SEC filings. To provide meaningful comparisons, we will also discuss certain non-GAAP financial measures that are outlined and described in the tables of our earnings release. Reconciliations of GAAP to non-GAAP measures are provided in the additional information section of the presentation slides. You can access the conference call slide deck on our website at arcb.com in our 8-K filed earlier this morning or follow along on the webcast. And now I will turn the call over to Judy.
Judy McReynolds: Thank you, Amy, and good morning, everyone. I want to start by thanking our employees for their unwavering dedication and hard work. Despite challenges in the freight environment driven by soft industrial production and a changing trade policy landscape, I'm proud of our progress and how our team carried out strategic initiatives that have led to significant service improvements and efficiency gains. We remain steadfast in our commitment to creating value for our shareholders and customers through the disciplined execution of our strategy. Our ongoing efforts to drive operational efficiency, leverage innovative solutions, and strengthen customer relationships are a strong foundation for sustained success. As our customers navigate changes to US tariffs and trade policies, we're focused on helping them quickly adapt. It's more important than ever for shippers to drive efficiencies across every aspect of their supply chain and build flexibility into their operations. ArcBest's comprehensive suite of integrated solutions, innovative technology, and problem-solving mentality position us to help customers achieve these efficiencies and build better supply chains. Our managed solution, in particular, does just that. Having been in this industry for a long time, one thing is certain: disruptions are inevitable. I take great pride in hearing stories from our customers about how our services, solutions, and dedicated team have helped them overcome real challenges. Recently, we partnered with a leading manufacturer of lighting solutions to modernize their shipping operations. Historically, they used manual processes to route orders and determine warehouse shipping locations. Through our reporting abilities and the automation of key processes like shipment consolidation and routing, we are driving tangible results. In addition to soft benefits, they now project a 5% savings using our managed solution. This innovative approach supports their needs and helps them better serve their own customers. It is a perfect example of how we partner with customers. And as we always say, when our customers succeed, we succeed. The upcoming NMFC classification changes present another disruption to our industry. Years ago, we anticipated that the industry would move towards space-based pricing.
Judy McReynolds: And ArcBest became the first in the LTL industry to launch this pricing approach. Our long history of capturing accurate dimensions positions us well to support customers with these changes. We are proactively working with customers to help them understand the potential impact on their freight profile and successfully navigate new classification codes. ArcBest's foresight regarding the freight industry's move to space-based pricing also led us to develop a mobile dimensioner and ultimately introduce Voxx Vision, which we announced in February. This innovative 3D perception technology transforms forklifts into intelligent mobile dimensioners that provide precise real-time freight measurements, images, and detailed shipping insights on the go. The pilot phase of Voxx Vision will give us critical data to refine the technology and ensure it delivers significant value. We expect Voxx Vision to be a cost-effective solution that can easily be adopted and integrated, enhancing transparency and compliance in freight handling workflows. Following the pilot period, we are excited to roll this technology out more broadly to the market. We remain deeply committed to continuous improvement across the business and are taking steps to ensure our customers have the right solutions and capacity to meet their needs. Ultimately, our innovative solutions and our team are why our customers come back to us time and time again. Looking ahead, I'm as confident as ever that ArcBest is well-positioned to deliver long-term value as a leading logistics partner and innovator. I'll now turn the call over to Seth to update you on our progress in key areas of focus for Q2 2025.
Seth Runser: Thanks, Judy, and good morning, everyone. As we discussed last quarter, our priorities for 2025 are driving profitable growth, advancing our premium service for customers, and focusing on optimization and efficiency. The recent leadership and organizational changes instituted earlier this year are already fostering increased collaboration across the business, and I'm pleased with the early signs of success. By addressing workflow bottlenecks, we've sped up decision-making and streamlined processes with our sales, legal, and pricing teams, enabling a 31% improvement in the speed of deal execution. We've accelerated growth in our sales pipeline with a higher mix of core LTL opportunities, and we're investing in our sales teams, particularly to grow our share of small and medium-sized businesses. Customers increasingly prefer digital engagement. We are now receiving over 200,000 dynamic quotes. More digital quotes give us the opportunity to be more selective in the freight we choose, optimizing our network and profitability. We have seen a 50% increase in revenue per shipment levels for dynamic business since 2020, and we expect even greater profit contributions from this business as we continue to grow our daily quoting opportunities. Through our integrated solutions, we are uniquely positioned to say yes to our customers, addressing their diverse needs and helping them drive efficiencies and manage supply chain uncertainties. Judy highlighted our managed transportation solution, which delivers flexible, tailored solutions. We continue to see encouraging demand for this solution, which achieved double-digit growth and all-time quarterly highs for both shipments and revenue. Our focus on service excellence includes continued investments in shipment visibility, which has led to the majority of our customers now tracking their shipments digitally. This contributes to reduced customer service requests and improved productivity. We're also advancing solutions like flex deliveries, which provide customers with a delivery window and a picture of doorstep deliveries for added convenience and transparency. Additionally, our appointment optimization project is in its first pilot at select service centers. These initiatives feed valuable data into our optimization tools, enhancing the efficiency of our pickup and delivery routes while elevating the overall customer experience. We continue to prioritize reducing customer churn by strengthening our onboarding and retention efforts. We've established a multi-department focus group dedicated to aligning resources, analyzing key factors, and recommending actionable changes to improve retention. Additionally, we're streamlining the onboarding process to identify customer requirements earlier and meet those needs more effectively, ensuring a seamless and efficient experience for new customers. We believe this new process will further improve our retention statistics and enhance the customer experience. We are progressing our targeted optimization projects to enhance service quality. City route optimization phase two leverages daily demand predictions to streamline pickup routes, allowing us to better accommodate customer requests and enhance service efficiency. Phase three introduces a dynamic routing tool that generates nearly real-time automated customized routes while allowing for human adjustments based on local expertise. We're rolling out these phases strategically, starting with the most impactful service centers first. Notably, at our Baltimore service center, implementing this software reduced the manager's planning hours from four hours to just forty-five minutes, allowing for more direct engagement with teams on the dock and less screen time. We continue our campaign of having a team of operational experts visit our facilities to support best practices across our network, driving improved service and efficiency. This highly specialized team carefully evaluates the unique needs of each location and customizes training and software adjustments to ensure optimal outcomes. During the first quarter, training was completed at nine sites, resulting in $6 million in savings. Our truckload digital roadmap continues to make steady progress. Carrier portal adoption has reached 22%, while 45% of shipments are now digitally fulfilled. To further enhance efficiency, we've launched an inbound call automation pilot aimed at automating routine calls so our teams can focus on servicing more value-added customer requests. Additionally, digital quote augmentation is on the rise with further advancements on the horizon. During the first quarter of 2025, these efficiency and optimization projects drove productivity improvements of 1% for asset-based operations and 24% for asset-light operations. While these improvements are impressive, we recognize the opportunity to achieve even greater efficiencies in the future. Our strategy and optimization team is tasked with advancing operational excellence and scalable growth. Through job shadowing and a comprehensive review of enterprise processes, the team is identifying opportunities for improvement by leveraging previous successes in technology, compliance campaigns, and optimization initiatives. This team will advance our highest priority initiatives and work to further streamline processes and improve productivity. Disciplined execution and moving with urgency have been central to our efforts this quarter. With these principles guiding our strategy, we are well prepared to meet the evolving needs of our customers in any environment and drive profitable growth. I'll now turn it over to Matt to go through the financials in greater detail.
Matt Beasley: Thank you, Seth, and good morning, everyone. As we navigate the soft industrial economy and challenging truckload market, our focus remains on driving actions that strengthen our business. We have made significant progress in boosting operational efficiency and eliminating unnecessary costs. These efforts position us to adapt effectively to dynamic market conditions while driving long-term value creation. Turning to our first quarter results, consolidated revenue decreased by 7% from last year's first quarter to $967 million. Non-GAAP operating income from continuing operations was $17 million compared to $43 million in the prior year. Our asset-based segment saw a $27 million decrease in operating income, while the asset-light segment's non-GAAP operating loss of $1 million was $4 million better than the prior year. Adjusted earnings per share were 51¢, down from $1.34 in the first quarter of 2024. Now let's discuss our two segments in more detail. Starting with our asset-based business, first quarter revenue was $646 million, a per day decrease of 3%. ABS operating ratio was 95.9%, an increase of 390 basis points over the first quarter of 2024. ABS operating ratio also increased 390 basis points sequentially, within the historical range of a 350 to 400 basis point increase. In the first quarter, daily shipments were flat year over year, while weight per shipment decreased by 4%, resulting in a 4% decrease in tons per day compared to the previous year. This decline is primarily due to industrial weakness, as customers are producing less in the current economic environment. Additionally, higher interest rates and low housing inventory have led to fewer household goods moves, which typically involve heavier shipments. Some higher weight LTL shipments have also shifted to the truckload market with its continued low rate and excess capacity. Despite lower tonnage levels, the volume of shipments remained relatively stable, which meant that labor costs didn't decrease proportionally with the tonnage declines. However, improved productivity through technology and training helped manage costs while maintaining high service standards. Year over year, costs for fuel and repairs decreased, but nonunion health care and insurance-related expenses increased by $6 million, adding 90 basis points to our operating ratio. We secured an average increase of 4.9% on our contract renewals and deferred pricing agreements during the quarter. Revenue per hundredweight increased by 2% in the first quarter compared to the first quarter of 2024. Price improvements have been partially offset by declining fuel costs. Excluding fuel surcharges, revenue per hundredweight increased in the low to mid-single digits year over year. The pricing environment remains rational, and we are focused on using pricing and operational efficiency improvements to outpace rising costs and enhance our margins. Turning to April 2025 trends in our asset-based business, we achieved a 4% year-over-year increase in daily shipments, highlighting our success in capturing new core business opportunities. Despite the market backdrop leading to a 3% decrease in weight per shipment, we saw a 1% increase in daily tonnage levels compared to the same period last year. On the pricing front, we saw a 2% year-over-year decrease in revenue per hundredweight for April. When excluding fuel surcharges, the decline was less than 1%. This decrease was partly driven by an increase in shipments from core customers with easier-to-handle freight, which generally have a lower revenue per hundredweight profile but are operationally more efficient. Additionally, there was a decline in shipments within the manufacturing vertical, where we typically see a higher revenue per hundredweight profile. The ongoing trend of fewer household goods moves, influenced by current economic and interest rate conditions, also continued to impact our results in April. Historically, ABS non-GAAP operating ratio has improved by 300 to 400 basis points from the first to the second quarter, and we expect our second quarter operating ratio improvement to remain within this range. Moving on to the asset-light segment, first quarter revenue was $356 million, a daily decrease of 9% year over year. Shipments per day were down 4%, as we strategically reduced less profitable truckload volumes, offsetting double-digit growth in our managed solution. Revenue per shipment decreased by 6% due to the soft freight market and growth in our managed business, which has smaller shipment sizes and lower revenue per shipment levels. Our non-GAAP operating loss of $1.2 million was an improvement compared to last year's non-GAAP operating loss of $4.7 million. This improvement was driven by our focus on improving margins while reducing operating costs. In April 2025, asset-light year-over-year daily revenue was down 10% due to fewer shipments from a strategic reduction in less profitable truckload volumes, offsetting the continued strength in managed. Lower revenue per shipment resulted from soft freight market conditions and a higher proportion of managed business with smaller shipment sizes. Given current market conditions, we anticipate a non-GAAP operating loss for this segment of between $1 million and $2 million for the second quarter of 2025. I'll now turn to our long-term balanced approach to capital allocation. Our 2025 capital expenditure guidance of $225 to $275 million reflects maintenance capital spending to optimize our total cost of ownership and strategic capital investments in our highest priority projects. We are focused on deploying this capital in the most effective way possible to enable growth, improve service, and increase efficiencies across our network, and we currently expect to be at the lower end of our capital range for the year. We also acquired leases for two strategically located facilities through the recent yellow property auction process during the quarter while returning over $24 million to shareholders through both share repurchases and dividends. We will act opportunistically on share repurchases based on share price, balancing organic capital investments while maintaining reasonable leverage levels. Our balance sheet remains strong, and we have approximately $350 million in available liquidity. While external factors can be unpredictable, ArcBest is focused on controlling what we can, serving our customers with excellence, optimizing our operations, and maintaining financial discipline. I'll now hand the call back to Judy.
Judy McReynolds: Thank you, Matt. As we move forward, we will continue to adapt to the evolving trade environment, leveraging our strengths to support customers and drive sustainable growth. ArcBest remains well-positioned to navigate challenges and capitalize on opportunities, reinforcing our role as a trusted logistics partner. That concludes our prepared remarks. I'll turn it over to the operator for questions.
Operator: At this time, I would like to remind everyone in order to ask a question, please press star then the number one on your telephone keypad. We request that you limit yourself to one question. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Daniel Imbro with Stephens Inc. Please go ahead.
Daniel Imbro: Hey. Good morning, everybody. Thanks for taking our questions. Matt, maybe we'll start a little bit on the near-term setup. I think in the filing, your comments, you noted normal seasonality is, what, 300 to 400 basis points better at ABF. I guess, what's assumed the sequential change in revenue that's underpinning that? Sorry if we missed that in the comments. Then just to put a finer point on the profitability, beyond revenue, are there any specific cost reductions that you're targeting due to the macro that's changing? Or no specific changes happening on the cost structure here as we think about the sequential move through the Thanks.
Matt Beasley: Yeah. Thanks for the question, Daniel. So I'd say just at a high level, you know, we didn't provide any particular outlook around revenue, but certainly, we said as we see the move from the first quarter to the second quarter, we do expect normal seasonality with that change. You know, with that, you would expect just the normal typical seasonal increases in revenue per day that are a big driver of that improvement in the operating ratio. And I'd say on the cost side, you know, we've got a full portfolio of cost initiatives that continue, certainly the compliance campaigns that have continued to be successful for us. Those are continuing at our largest service centers and distribution centers this year. You know, we continue to make sure that we are aligning, you know, our workforce to our business levels and have a lot of flexibility there. So I would just say just continued progress on the cost side in line with what you've seen from us over the last few years.
Operator: Your next question comes from the line of Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey. Thanks. Good morning. So I think you said March to April tonnage is up 1% sequentially. But rev per hundredweight down 1% sequentially. Is there any way you could share what, like, the what the normal seasonality is for those two metrics, March, April? I guess, ultimately, what I'm what I'm trying to understand is we're we're in this sort of uncertain maybe weakening macro backdrop and and tonnage is turning positive for the first time in you know, a couple of years, but now yields are turning negative. Right? Are are we with the dynamic pricing, are are we sacrificing some price in order to get volume Just trying to understand, like, the the moving pieces here.
Judy McReynolds: Scott, this is Judy. Good morning. You know, we when we look at, the opportunities that we have nothing has changed. You know, we're we're we're very driven by, reviewing the opportunity set, which, by the way, the the pipeline's up 55% this year because of some of the alignment that we have with our sales and, customer solutions teams. Which we're really excited about. But but as we're looking at those opportunities in evaluating them, you know, we we have a very, approach. We've got a strong team. You know, we have the strongest pricing metrics in the industry. And we're seeing good increases on know, the most price sensitive accounts. I think nearly 5% you know, in the quarter on those. So, you know, from a from a dynamic standpoint, Eddie, I'll I'll turn it over to you, see if you have some comments about that as well.
Seth Runser: Yeah. Thanks, Judy. You know, from a dynamic standpoint, nothing's really changed from quarter to quarter, month to month in terms of you know, how much, that's contributing to our numbers. If anything, our dynamic prices have improved over time because just as Seth mentioned earlier, know, our quote pool continues to expand and that's given us an opportunity to really optimize the the shipments that we are able to get from you know, that that coating mechanism. So we feel really good about the price levels of dynamic, but, really, the the story of our growth is is just our improvement to capture more core LTL business. And as Judy mentioned, it it's we're very disciplined in how we're pricing that business. It's profitable for us. It does have some different characteristics of our average. And that's what's driving some of the change. But, ultimately, we're gonna make the right decisions on an account by account basis to drive profitable growth for the company.
Operator: Your next question comes from the line of Ari Rosa with Citigroup. Please go ahead.
Ben Moore: This is Ben Moore at Citi on for Ari. Thanks for taking our question. Your guide for 300 to 400 bps of improvement sequentially into two q, can you break that out a bit? Insert some headwind to your OR on lower volumes from the tariffs? But offset by your cost outs. In other words, without the tariff headwind, but with your cost outs, how much better than your historical 300 to 400 could you possibly do?
Judy McReynolds: Well, you know, what what I would say then is you know, with as we develop the disclosure and the and, you know, our view of the OR range and how we feel know, you know, that we're gonna perform against history, it really takes into account all those factors. You know, we we have macro inputs. We have internal initiative inputs. And what I'm I'm really proud of is you know, we have made some sizable investments not only in technology initiatives as we've been mentioning, but also you know, on the equipment side. And in some real estate investments. And, you know, those are really a contributing factor. And, you know, what I'd like to do is ask Matt Godfrey to talk about the benefits of of what we're seeing on some of those investments with our equipment and and the real estate that we put in place.
Matt Godfrey: Yeah. Thanks, Judy. And when we look at our our real estate portfolio and and the investments we've made, it's really been a strategic and disciplined approach to add capacity to our network. And so it's been a mix of adding facilities around our distribution centers to add transfer capacity. And in those situations, as Judy mentioned, we've seen the expected growth in an efficiency in service that we've expected to see, and those gains in efficiency in service support our strong pricing that Eddie was talking about earlier. And then in locations where we've replaced the facility, you know, we've moved into larger facility. That's a long term decision to add capacity to the network. But we're not adding cost in the short term to continue to service that market. We'll add the cost to service the business as it comes on. And then also on the equipment side, we've been able to bring in equipment at our optimal total cost of ownership model with support We've seen a reduction in our maintenance cost again year over year after a significant improvement 20 in 24 year over year. So we'd like where we're at from an equipment and a capacity standpoint to continue to serve our our customers. Well and support growth.
Judy McReynolds: Yeah. And then I, you know, I I just wanna make sure that everyone has a good understanding of, you know, the the benefits that are flowing into both the second quarter as we see it and then for the remainder of 2025. And we're just in the early stages of of some of those. And so, it's it's just important to stay focused on that as well as you know, all the macro noise that's going on.
Operator: Your next question comes from the line of Ilgut Alper with TD Cowen. Please go ahead.
Elliot: Yeah. Thank you. This is Elliot on for Jason Seidl. So contract renewals increased sequentially from 4.5% last quarter to 4.9% in Q1. Can you talk about the pricing environment in LTL right now? Maybe how we should interpret the sequential growth in pricing in an environment that, at least so far, feels maybe incrementally weaker compared to last quarter and maybe more uncertainty in the macro?
Seth Runser: Yeah, Elliot. This is Eddie. I think from a overall macro standpoint, we're still seeing the market be very rational in terms of pricing There's really no what I would say, a peer out there that's that's really going after you know, growth at expensive pricing. You know, I'm really proud of the team and how we're able to have great conversations with our customers. About the value we're providing them. And I think that's really why why we're able to get a good increase with these renewals. You know, that's this this is in this environment, know, I think there's always a a chance that you know, increases could suffer at the expense of a business but we're really not seeing it at this point. You know, customers, appreciate the value we're offering them, and they're responding appropriately by granting these increases.
Operator: Your next question comes from the line of Chris Wetherbee with Wells Fargo. Please go ahead.
Chris Wetherbee: Hey. Thanks. Good morning, guys. Guess I want to hit on weight per shipment. So, obviously, we've seen some softness there. It sounds like there's some mix components going on there with maybe less industrial freight. But we're seeing levels that are fairly low in the long term kind of history of the company. So I guess I'm just kind of curious how you're thinking about it. There's anything you're doing with either the dynamic pricing or the approach to the market that's influencing this bit more than just what the market is is giving you. Just want to get some sense on on on how that's playing out. Going forward.
Seth Runser: Yeah. Hey. Thanks, Chris. This is Seth. So, obviously, wait for shipments being impacted by just the softer macro environment and what's going on as shippers, you know, reduce shipment size we've talked in the past about shipping three skid down to two. Things like that. So although our retention's in a great place, our customers are just simply producing a little bit less than than they have been. That's kind of the same story we've been talking about for a few years now. So although we feel great about those retention stats, we don't wanna lose any which is why we're investing in that retention team that we mentioned in the beginning in our prepared remarks. But we are impacted a little bit more on weight per shipment, because of the U Pack service we offer. Which is the housing market and interest rates where they are. It's resulted in just fewer household good moves. Those are generally smaller ship in count, but they're heavier in nature just as we move. So customers continue to utilize that service just at a reduced rate simply because of where the housing market is. So we've talked a little bit about freight, you know, migrating over to truckload. Due to the excess capacity in the truckload space right now. So nothing new really going on. From what we saw in 2024. We think that freight's gonna eventually flow back to the LTL space when when the market flips. But we've been encouraged, by ultimately what our customers are looking for and that's efficiency in supply chain in their supply chains, and that's why we continue to be encouraged by our pipeline stats, The change we mentioned in January, we've seen the, you know, the pipeline go up 55%, the speed of deal velocity that I mentioned in my prepared remarks, are, are just impressive, to be honest with you. So customers are ultimately looking for a partner they can trust. And when you think about our history, we're a hundred and two years old. We've seen a lot of cycles in our history. A lot of disruptions these last five years, but we're focused on what's in our control. And we're having great momentum with the initiatives, our pipeline, and all these investments that we've made. So we're positioning ourselves for growth now but also remaining disciplined on our pricing and our cost as we move into the future. So I feel like we have the best team in the industry, and I feel confident in our ability to execute for our customers and our shareholders.
Operator: Our next question comes from the line of Ken Hoester with Bank of America. Go ahead.
Ken Hoexter: Hey. Great. Good morning. Judy, I I I hear a lot about the the rash or pricing is still rational from you, Seth, and the team. But if I think about Saia talked about some negative price You're talking about negative pricing moving into April. TFI talked about using some GRI discounts. Maybe just help me understand that. I mean, I understand weights are going down, and so maybe that's part of the issue we're seeing here. But I want to understand because I think that's what investors are really concerned about is is what is going on set to that last answer in terms of the Edge. Then you had a 50% increase in revenue per shipment on the Dynamic business. Is that just doing more spot How should we think about the shifts there? Because I'm just trying to understand the impacts to the OR which have been maybe greater than we've seen at industry peers in terms of the degradation
Seth Runser: So hey hey, Scott. This or Ken, this is us. Up again. So we mentioned the April, did see the 2% decrease in revenue hundredweight excluding fuel, it's less than 1%. So we talked about how mix is kinda driving this, those easier to handle shipments that generally have a lower, revenue per hundredweight profile, but a better operational efficiency. So we mentioned that. I talked about the household good moving. Things like that. Those generally had a higher revenue per hundredweight. So we're getting impacted a little bit more than our peers, but there's also the comparison that's playing into this a little bit. If you look at 02/2023 to, you know, two q twenty four, the post yellow disruption and all the things that were going on, our price was up 23% from, 02/2023 to 02/2024. So we got a little bit of cough going in there. Our mix of dynamic shipments remain consistent with prior year and prior quarter. No change in strategy there. At at really strong prices. So I mentioned that more customers wanna engage with us digitally, And as our quote pool grows, we in turn end up picking the the shipments that best fit our network that are the most profit optimal as well. So as that quote pool grows, we have more opportunities or swings at the bat. Which allows us to make the profit optimal decision, as I mentioned, So the new business we're bringing on, it is incrementally profitable. It's the right decision for the company, and it's great to see the growth that we achieved in April, 4% year over year. Was was good to see that our strategies and initiatives are paying off. So normally, that average sequential OR change Matt mentioned in his opening comments, three to 400 basis points. We're expecting to stay in that range because of all the initial initiatives and all the strategies that we're we're enabling to get improved results. So I really like the position we're in regardless of all the noise in the market We're built really for any environment. We stay close to our customers. When you look at our our revenue stats, 80% of our revenue comes from customers been with us over ten years. So they've been coming to us through this disruption. We've been able to help navigate them. That's why we think we're gonna come out on the other side. In really good shape. So
Operator: Your next question comes from the line of Jordan Alliger with Goldman Sachs. Please go ahead.
Jordan Alliger: Hi. Morning. So in terms of revenue per day, which I think in you said was down about 1%, I know there's a lot of puts and takes, but is there any sense from a year over year trend perspective can it look better or worse from here for the balance of the quarter? And then secondly, again, realizing there's a lot of tariff uncertainty out there, have you specifically heard from customers about changes in behavior or thoughts on pulling back orders or particularly in the manufacturing sector? Thanks.
Judy McReynolds: Yes. You know, I'll I'll start by saying you know, just the relationships that we have with our customers, you know, are truly close and you know, we work in a in a partnership with them. You know, to navigate these challenges. And we were looking back, you know, the this morning, back to 2019, which was a recessionary environment. Also and thinking about all that's changed since then. And it's just really been in a constant state of disruption. So we we've learned, a lot and and do that well. And so you know, I'll turn it over to Eddie for the specifics, but it is very helpful.
Seth Runser: To us.
Judy McReynolds: And beneficial to our shareholders Ultimately, the relationships that we have with our customers and the solutions that we bring to bear, you know, especially in a in a state of disruption. But, Eddie, go ahead.
Seth Runser: Yeah. Thanks, Judy. You know, this is definitely a a topic that's top of mind for our customers. We're having lots of conversations trying to be there, for our customers to help them navigate through this these challenging times You know, it's really a mixed bag, though, what we're hearing from customers. There is a group that's kinda in a wait and see mode. To to really try to figure out what the the next tweet's gonna come out and say and and maybe, you know, are there really gonna be changes across the, you know, the different countries Then there's another group that you know, they're not waiting, and they've taken advantage of some inbound or inbound warehousing options. To get their freight moved. That's given them some great, solutions there. There there are some customers who are just utilizing more domestic manufacturing and supplier options. There are some customers who have implemented surcharges or passed along the higher cost. And then there's there's a big group of customers. It's just business as usual. This is not having a material impact on them right now. Ultimately, you know, there's we offer our customers a wide range of solutions, and we're there to support them. We feel like we can help them through navigate through any of these challenges.
Operator: Your next question comes from the line of Bruce Chan with Stifel. Please go ahead.
Matt Milask: Good morning. This is Matt Milask on for Bruce. Curious as to don't overall retail exposure, as a percentage of your enterprise and perhaps how much of that might directly be tied to inbound traffic from China?
Matt Beasley: Yeah. So Matt, just overall, I would say it's it's around 10% probably a little bit less in our asset based business and a little bit more in our asset light business. But overall, not a significant exposure to the retail sector.
Operator: Your next question comes from the line of Stephanie Moore with Jefferies. Please go ahead. Hi, good morning. Thank you.
Stephanie Moore: Good morning. The one maybe, Judy, is a little bit of a a higher, you know, big picture question. And to your point, you know, this hundred plus year old company, you've been through many cycles. Can you talk about some of the levers or or opportunities you can pull and, you know, maybe a more of a stagflation environment? Clearly, you've dealt with inflation the last several years, but know, in the backdrop of a a relatively more constructive crate environment, at least you know, back in 2022 and the like. But maybe if we were to see the inflationary pressures persist while even the overall environment was a little bit weaker? Thank you.
Judy McReynolds: Yeah. Stephanie, that's a that's a great question. And you know, I'll just start by by reminding, everyone that that, you know, on the the union labor contract for AVF, we have, certainty on that, and we've got clarity. You know, that, we're gonna be in that sort of, 3% range you know, in terms of cost increases there. Throughout the contract period. And so that's that's a big, influence on the ABF cost or asset based cost. You know, maybe somewhere in the neighborhood of you know, 55 to 60% you know, of the cost that we have, for the for that part of our business. But I'll know, turn it over to Seth to talk a little bit more. You know, what what I feel like that that we're doing is that we have our focus on, you know, operational efficiency. We also see that improving service levels, you know, for the company, but you know, we've done, some great work, just identifying areas that can be more efficient and they're across the organization. And so, Seth, do you wanna talk about those?
Seth Runser: Yes, Stephanie. I I would add that, you know, when you think about the tremendous opportunity that we have, we view markets like this as and we operate markets over $400 billion So we have a lot of potential for growth regardless of what's going on in the macro. So that's where we're focused. On the revenue side of things. So you've seen some of the early results of the changes we made. The second is really around efficiency. What Judy mentioned, we've been working on a multiyear plan for efficiency within our asset based operation as well as asset light. We've been pleased with the results. And there's a whole portfolio of projects, within both business units utilizing things like AI, machine learning, different tools that we've built that have made us more nimble than we've ever been in our past. So we feel like we can scale costs, we can increase capacity, we can move with whatever the market brings to us. Really, when you think about what we've done around, real estate, that's been a great story. Matt talked about some of the improvements in service and efficiency. It's great that we were very strategic there. And then overspend our capital and make sure that we're positioning for the future. And then when you think about some of the different things going on, on the asset light side, we we made a big improvement on the profit as you saw in our results, and a lot of that has to do with, improving the mix of our account base, the profitability there, and really that cost control by implementing various technologies initiatives, which got us to that 24% improvement year over year in productivity. So we're we're we're happy with the progress we're making, but we're not satisfied because we know we got a lot of runway and we see it in our in our front.
Seth Runser: Front.
Seth Runser: Front windshield. So I'm looking forward to what the future holds with the investments that we're Yeah. And so, Stephanie, you know, when you think about that, all of that in a in environment where know, inflation persists is just, I think, a very proactive approach to try to addressing you know, key cost areas for us that we know that we can we can bring down and, you know, that's our expectation, our customers' expectation, and it helps us, you know, improve margins and and enhance shareholder value as well.
Operator: Your next question comes from the line of Tom Wadewitz with UBS. Please go ahead.
Tom Wadewitz: Yes. Good morning. What I don't think you talked about this. Well, one just you've had on a competitive environment and so forth. But maybe within that SMB versus enterprise, are you seeing changes in your mix And are you seeing more competition for SMB? We've heard some the LTLs talk about that. And then just kind of how you look at that, Ed, I think your commentary on demand is it sounds like it's stable, I guess, if you look at, April versus March. But how do you think about May, June? Like, do you think it's reasonable to expect the seasonal pickup in May and June? Or or would you say, hey. We're not overly tariff levered, you know, that gives us some caution about expecting normal seasonality. So yeah, appreciate your thoughts on those two. Thank you.
Matt Beasley: Hey, Tom. It's Matt. So overall, on the SMB side, certainly, that has been a major focus for us. You know, on the ABS side, we've got a large diverse base of customers, including a significant number of SMB customers There certainly has been a big story on the asset life side, particularly in the truckload business as we've really doubled down on our SMB focus and made some significant shifts in the ship the shipment mix there, which has really helped in terms of our overall profitability. You know, as you as you think about some of the trends from here, you know, we do expect to see know, a continued pickup sequentially, you know, as we look forward certainly in shipments. You know, in line with we with what we would expect to see on a seasonal basis historically, and certainly that will drive a revenue per day pickup, which will be a big part of what will be driving the the improvement in our OR, that three to 400 basis point improvement, which, again, is we expect to be in line with that seasonal the historic seasonality.
Operator: Before going to the next question, again, if you would like to ask a question, press 1 on your telephone keypad. Next question comes from the line of Brian Ostendorf with JPMorgan. Please go
Brian Ossenbeck: Hey. Good morning. Thanks for taking the questions. A couple cleanup ones, so I'll just ask them all in a row pretty short. Matt, low end of the CapEx, don't know if I heard as to why moving or targeting that direction. If you could provide some more details on that. Also, with the UPEC versus history, feels like we talked about this being low for a while. Maybe you can put some context around that. In terms of, like, where it's been in prior low points for for the housing market And then lastly, with Fox, the pilot, I think, was paused in '23. Sounds like you're getting some benefits from this. So does that start to become part of EPS and not not adjusted? Thank you.
Matt Beasley: Yeah. So, Brian, a few different items there and just wanna make sure that I cover them all. But so on the capital front, we certainly took a hard look capital as we started the year just knowing, what the environment was looking like for '25 certainly made sure that we were one, targeting on our our maintenance projects that those investments kept us in line with our total cost of ownership targets there, our strategic capital, make sure that we were focusing on the highest priority projects there. I'd say as we move through the year, you know, just looking at the pace and timing of those investments this year, and particularly what we expect on the real estate side. I think in general, our revenue equipment is going to be in line with what our expectations are for the year, but I do think there could be a little bit of a shift on the real estate side. We also see some opportunity for real estate sales to transpire as we move through the year, just based on some of the property additions, that we've made to our portfolio over the last year or so, which could offset the net capital You know, talking about box, certainly, that has been a great story. That continues to be something that is customer led and customer driven. Just listening to the feedback for customers, it answers a lot of the challenges that they're facing just in terms of labor labor availability, addressing damages. Certainly, the box vision release that we had a few months ago really addresses some customers' needs around dimensions and very timely with the upcoming NMSE changes. And so yes, we certainly will be looking at that as we move forward and and as we start to scale that business. We've got a strong and growing pipeline. But as we continue to make progress on converting those two committed revenue dollars, then we'll look at the non GAAP presentation there to remember. I think there might have been one other component of your question.
Matt Beasley: UPack. Okay. Yes. So sorry. So that has continued to be a trend. You know, certainly, we continue to see year over year decreases in that business We're we're certainly focusing on the most profitable aspects of that, and that is still helping our overall tonnage and our overall revenue per hundredweight, but we are still seeing on an absolute volume basis year over year decreases in that business.
Judy McReynolds: Yeah. And and, Matt, I think part of the question was around, you know, path housing market downturns and is this consistent with that? And it absolutely is. I can't I mean, I've been around long enough to think back about the fourth quarter of o six, which was one of those And it you know, it's same type of trend. But what I'll say is that team continues to perform at a very high customer satisfaction level, and, always has, and that business has been around. It was one of the innovations that we brought to the market you know, more than twenty years ago, and it's an excellent product. And is available. This is, one of the reasons why we bring that up in April is because it's moving season. Know, as we come into it, And there are just some unique things about, I think, the interest rate environment and housing prices and some other things that have kind of stalled that. Market place. But, I actually saw one of the U Pack, shining stars employees on Saturday night, and she's there. She said that team is ready to go. You know? So, hopefully, there'll be some interest rate moves, and and we can get back to a little bit more normal activity there. But anyway, so just thought I'd give you that perspective. Oh, I will turn the call back over to Amy Mendenhall for closing remarks. I just wanted to thank everyone for joining us today. We certainly appreciate your interest in ArcBest.
Operator: Have a great day. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.